Operator: Good afternoon, ladies and gentlemen.  Welcome to Tucows Incorporated Fourth Quarter Fiscal 2010 Conference Call. Earlier this afternoon, Tucows issued a news release reporting its financial results for the fourth quarter of fiscal 2010.  This news release and financial statements are available on the company’s website at tucowsinc.com under the investor’s heading. Please note that today’s call is being broadcast live over the Internet and will be archived for replay both by telephone and via the Internet beginning approximately one hour following the completion of this call. Details on how to access the replays are available in today’s news release reporting the fourth quarter financial results as well as at Tucows website. Before we begin today, let me remind you that matters the company will be discussing include forward-looking statements and as such are subject to risks and uncertainties that could cause the actual results to differ materially.  These risk factors are described in details in the company’s documents filed with the SEC.  Specifically, the most recent report on Form 10-K and 10-Q.  The company urges you to read its security filings a full description of the risk factors applicable for its business. I would now like to turn them over to Tucows’ President and Chief Executive Officer, Mr. Elliot Noss.  Please go ahead, sir.
Elliot Noss: Thank you, Operator.  Good afternoon and thanks for joining us today.  With me is Michael Cooperman, Tucows’ Chief Financial Officer.  This afternoon’s call will follow our usual format.  I will begin with a brief overview of the financial and operational highlights for the fourth quarter and the year.  Mike will then review our financial results in more detail and I will return for some concluding comments before opening the call up to questions. Our financial performance for both the fourth quarter and the year continue to demonstrate the consistency and reliability in our business.  Revenue for the quarter grew by 8.6% from the same period of 2009 to $22.1 million, and for the full year grew by 4.5% to 84.6 million, both records. I will note that each of these was achieved despite the lower contributions from our Email service and Direct Navigation Name sales.  And once again, we generated solid cash flow from operations; 2.3 million for the quarter and 6.8 million for the year, up 8% over 2009. In addition, we had another extremely efficient year for CapEx, which was even lower than the already efficient levels of the previous year. During the fourth quarter, each of the components of our business continued to perform well.  OpenSRS domain services, again experienced year-over-year growth in transaction volumes with total registrations up 11%, renewal transactions up 16%, and new registrations up 2%. I will note that growth in new registrations was somewhat lower this quarter as a result of two large customers becoming accredited registrar.  We continue to do business with each of these customers and there will be a relatively small impact on gross margin dollars. Outside those two resellers, new registrations continued to reboat the robust year-over-year growth experienced throughout 2010.  And again, our renewal rate remains several points above the industry average. Domains under management were up 5.3% year over year to 10.2 million, another record.  All of this resulted in a year-over-year increase in domain service revenue of 13.8%.  Our competitive position remains strong and we had a number of significant customer wins during the quarter including two sizable additions. We also had a couple of notable wins within our OpenSRS email offering and continue to be encouraged by the strength of the pipeline.  The migrations of both customers are proceeding well and we expect them to be completed before the end of the month.  These wins contributed to a 32% growth in a number of active email boxes from a year earlier.  These sizable additions will position email for strong year-over-year growth beginning in Q1. On last quarter’s call, we announced the imminent launch of our latest reseller offering goMobi, a service that allows website owners to very easily set up a mobile version of their website.  As a reminder, a goMobi-enabled website will identify the type of device that a visitor to a site is using and customize the user interface to that particular device. We launched goMobi towards the end of the quarter and I’m pleased to report that things are progressing well.  The offering is gaining traction and feedback from customers has been very positive. As is typical with any OpenSRS rollout, it will take some time for our resellers to integrate our offering into their businesses.  Several of our largest customers and many of our smaller ones have already done so and many more are working on it. Just as encouraging, is the fact that number of new self-serve service providers, largely web designers are coming to OpenSRS for the first time because they want to offer goMobi to their customers. As I discussed last quarter, we see mobile computing as the dominate trend in technology today and something that we believe we are positioned to capitalize on in a number of ways. Our domain portfolio group, YummyNames, continues to perform well.  Individual domain name sales, that is, sales of brandable names and gems were up almost 50% compared with the fourth quarter of 2009 reaching their highest level ever.  We expect to see strong year-over-year performance for YummyNames in 2011.  Although the general decline in syndicated search revenue was still at a slight dampening effect on year-over-year comparisons. Our retail offering Hover continues its strong performance.  New transactions, which include new domains, transfers in, domain email accounts and personal name email accounts increased the momentum from all ready good levels up 17% over Q3 and 56% over Q2. A particular note, the number of transfers in for Q4 grew 85% from Q3 and outpaced transfers out by 2 to 1.  Growth in new customers remains strong with the number of customer additions up 21% from Q3.  With each quarter, we’re seeing more evidence that Hover’s value proposition as a simple no-hassle domain registration management tool and email service is resonating with our retail customers. The momentum in billings growth we saw earlier in the year continued with billings up 29% from Q4 2009, marking the fourth consecutive quarter of year-over-year improvement.  Hover’s strong performance is also the result of some innovative marketing approaches and excellent use of social media. Butterscotch, our content services group also continues to perform well.  Page traffic and site visits continue to grow, although it’s somewhat slower rates than we saw earlier in the year.  Video plays were more-or-less flat compared with Q3, the result of the reallocation of resources to mobile lifestyle content. As I discussed on our last call, during the quarter we begin to shift the focus of our content from mainstream technology to mobile lifestyle technology, to capitalize on the massive trend towards smartphones, tablets and always-connected technology.  This is something you will continue to see throughout 2011.  And lastly, growth offsite in video plays continued at significant rates. As I stated at the outset, overall a very solid fourth quarter that was again indicative of the consistency and reliability in our business. I would now like to turn the call over to Mike, to review our financial results for the quarter in greater detail, Mike?
Michael Cooperman: Thanks, Elliot.  Net revenues for the fourth quarter of fiscal 2010 increased 8.6% to a record 22.1 million from 20.3 million for the fourth quarter of 2009.  Cost of revenues before network cost increased by 1.9 million or 14% to 15.6 million from 13.7 million for the second quarter of 2009. Gross margin for the quarter decrease slightly to 5 million from 5.1 million for fourth quarter of 2009.  On a percentage basis, gross margin decreased 23% from 25%, largely the result of the 7% price increase intermitted by VeriSign in July 2010 as well as the continued shift in sales mix from higher-margin services to lower-market domain name services. Gross margin from our OpenSRS services, which include domain names services, email services and other wholesale services was 3.9 million or 21% of net sales compared with 4 million or 24% of net sales for the second quarter of 2009. This decrease in gross margin percentage is primarily attributable to the loss contribution of the media portal email customers that we have previously discussed and to a lesser extent the success of our strategy to grow revenue from higher-volume, lower-price customers. Gross margin for domain services component of OpenSRS increased to 2.7 million from 2.6 million.  As a percentage of revenue, domain services gross margin decreased to 15.8% from 17.3% due mainly to the VeriSign price increase I mentioned a moment ago. YummyNames continue to meaningfully contribute to gross margin with gross margins remaining flat at 1.3 million for the quarter compared to the fourth quarter of 2009.  Gross margin as a percentage basis was slightly higher at 88% compared with 87%. Hover continues to build a solid base for future growth.  Gross margin for the fourth quarter was 474,000, more less unchanged from the same quarter a year earlier. As Elliot discussed earlier, we are continuing to see the benefits of the redevelopment of our retail platform in 2009 as well as the implementation of our marketing programs following each relaunch. As we’ve noted on previous calls, these initiatives resulted in a decrease in deferred revenue balances for Hover during fiscal 2009, which is reflected in these results.  With Hover now experiencing increased sales volumes, higher cash receipts and a return to growth in deferred revenue we expect to see the results of these initiatives reflected in Hover results going forward. On a percentage basis, gross margin for Hover increased to 66% from 63% due to the introduction of higher margin and retail offerings. Gross margin for Butterscotch, decreased marginally to 424,000 from 449,000 for the same quarter of 2009.  The decrease is primarily the result of lower revenue from traditional banner ads as well as the significant decrease we have experienced in AdSense revenue following Google’s elimination of their program at the enterprise level.  As a percentage of net revenue, Butterscotch gross margin was unchanged at 98%. Turning to the cost of the quarter, I will again remind you that a significant portion of our operating cost are in Canadian dollars and our results should therefore be viewed in the context of the unfavorable impact of the stronger Canadian dollar relative to the U.S. dollar has had on our performance. Some context for my discussion of cost, when compared with the fourth quarter of 2009, the Canadian dollar strengthen by approximately 4% relative to the U.S. dollar.  Network cost for the quarter were down approximately 5% to just under 1.5 million continuing to reflect the improved deficiency we have experienced in operating and managing our co-location facilities. Despite the strengthening of the Canadian relative to the U.S. dollar, total operating expenses for the quarter were relatively unchanged from the same period of 2009 at 3.8 million.  As a percentage of revenue, total operating expenses decreased to 17% of revenue from 18% for the fourth quarter of 2009. Net income for the quarter was 1.2 million or $0.02 per share compared with 1.7 million or $0.03 per share for the fourth quarter of 2009.  I will note that the fourth quarter of 2009 included a recovery of income taxes of just under half a million dollars compared with a tax accrual of just under 25,000 for the fourth quarter of 2010. Before I move on to the balance sheet and cash flow, I would like to take this opportunity to provide some context for the net income for the full year compared to fiscal 2009.  Net income for 2010 was 2.1 million compared with 12.2 million for 2009, a decrease of 10.1 million or 83%.  In assessing our fiscal 2010 results relative to fiscal 2009, I would like to remind you of four items that significantly impact this comparison. One, fiscal 2009 included other income or 4.5 million resulting from our excel of our stake in affiliates and from the patens that we assigned in 2002 to a third party who continues to commercialize them. Second, the impact of the change of fair value on our forward exchange contracts resulted in a loss of 1.4 million compared to a gain of 4.2 million during fiscal 2009, a $5.6 million swing. Third, fiscal 2009 income taxes included the benefit of 556,000 related to a reduction in the company’s recorded deferred tax liability. And finally, when compared with fiscal 2009, the Canadian dollar has strengthened by approximately 9% relative to the U.S. dollar. Cash and cash equivalence at the end of 2010 was 4.2 million down from 9.6 million at the end of 2009 and 5.4 million at the end of the third quarter of 2010.  Both of these decreases in cash are primarily attributable to the success we have experienced with our share repurchase program. During the fourth quarter under our most recent Dutch auction, we repurchase an additional 3.9 million shares for 2.8 million.  This brought the total number of shares we have repurchased during fiscal 2010 to 13.7 million for a total investment of 9.7 million. During the quarter we also made capital repayments of 479,000 on our credit facility with the Bank of Montreal and invested 296,000 in fixed asset acquisitions.  I would note for you that our liability under the credit facility was 1.3 million as of the end of December. Under the terms of the facility, we expect that this loan will be fully repaid by the end of the second quarter.  These uses of cash were partially offset by our generating cash flow from operations during the fourth quarter of 2.3 million and 6.8 million during the full fiscal year. Deferred revenue at the end of the year was 62.6 million an increase of 6.3 million from 56.3 million at the end of 2010 and 300,000 from 62.3 million at the end of the third quarter of 2010. Our financial results for both the quarter and the year highlight our ability to benefit from the leverage in our business model.  We continue to grow our top line, deliver solid cash flows from operations while prudently managing cost, all of which are indicative of the underlining health of our business and position well for the future. I would now like to turn the call back to Elliot.  Elliot?
Elliot Noss: Thanks, Mike.  Today I thought I should address a topic that has made its way into the mainstream media recently, and something I’ve started to have investors ask me about.  The introduction of new domain extensions and what it means for Tucows. With several high-profile meetings in the domain space coming up over the next few weeks, there are likely to be some significant near-term developments on this front, and I wanted to share my thoughts on what the new top-level domains would mean for Tucows. Let me preface my comments by noting that while this is certainly a very interesting, and we believe potentially very lucrative opportunity for Tucows, we don’t expect to see any incremental revenue until the middle of 2012 at the earliest. For those that aren’t aware, I’m talking about the potential introduction of a high volume of new domain extensions.  Examples would be things like .web, .blog, or .search or a whole new category that is likely to arise around brands; .Tucows or . ibm for example.  This will mark a fundamental change in the way domain names are used. While there have been a small number of introductions of new extensions over the past 10 years like .info or .biz, we would now see hundreds of new extensions in one large wave. In terms of timing, Ican, the regulator that determines who, how, and when these new extensions are introduced, next meets in San Francisco in March.  In addition, some of you may have seen recent media reports about high-level meetings between governments and Ican, next week in Brussels, aimed at resolving the last few issues around the introduction of these new extensions. It’s expected that these meetings are likely to lead to significant developments on this front, which very well could include a specific finite timeline for the introduction process. So what does this mean for Tucows?  There are few thoughts I’d like to share in this regard but first, I would like to emphasize that this will result in significant change in the domain name world, and where there is change there are opportunities for innovation.  At a high level, we are supportive of this, we are excited about it and we think that it’s a good thing both for our business and the internet in general. My first point is that Tucows does not intend to be a mainstream domain name registry and compete with the large existing providers like VeriSign or NewStar, or some of the large operators of country code domain names like those in the U.K., Australia, or Germany. We think that there are a large number of competitors in that space, that there is likely to be a lot of competition.  That’s not where we see a value at.  We think that the primary opportunity for Tucows will be as a distribution partner.  We’re one of the very largest registers in the world.  We have the best global distribution channel of any registrar.  We recently went over 11,000 partners and they’re all over the world. We expect that with potentially hundreds of new domain extensions competing for shelve space, end-user attention and sales, that this benefits large distribution partners, much like a new cereal that wants to reach end users’ needs to work closely with supermarkets and other points of distribution. At our core, OpenSRS is a distribution platform with great relationships, so we think that this is the primary opportunity. In addition to that, we do think that there is an interesting potential opportunity to work with some small number of large brands who intend to obtain their .brand domain extension.  Inside of our existing customer base, there are some very large brands that would naturally look to us for assistance. More importantly, we have a demonstrable ability to be a great backend partner to others who have their own large brand customer relationships.  Moreover, we think there is some room for differentiation and innovation in this specific service offering. On last quarter call, I talked about Tucows ability over the past 15 years to consistently capitalize on industry change.  The anticipated introduction of hundreds of new domain extensions provides just such an opportunity for us to do that again. Overall, 2010 was a very solid year for Tucows.  Our core , our ability to build and maintain long-term customer relationships as well as our ability to deliver innovative new services. OpenSRS is a tremendous platform and during the year we introduced several new offerings to our more than 11,000 reseller customers around the world including our expanded to trust services offering and our goMobi offering. We also launched our unified control panel, which in addition to making it easier for resellers support their customers, improves our ability to cross sell and out sell our services. Importantly, we were able to do all of this with minimal capital investments. Hover provided significant improved contributions in 2010.  We have successfully repositioned it, we have found opportunities for meaningful customer acquisition and we are quite excited about even more growth for this business unit in 2011. YummyNames performed well within the context of our focus on brandables and gems with an inventory of more than 85,000 names, and exclusive access to more than 180,000 names expiring in OpenSRS every month we are well positioned for the future.  We expect solid growth in 2011 as the brandables and gems market continues to mature. Butterscotch made significant strides in moving from a dated paradigm desktop software downloads towards real opportunities in video and mobile computing.  And again, with both Hover and Butterscotch we’ve been able to do what we have done with minimal capital investment. Financially, our business model is allowing us to increase our productivity, which has assisted us in offsetting some of the impact of the strong Canadian dollar. Most importantly, our business continues to generate strong cash flow from operations.  All of this positions us to continue to deliver on our stated objective to return capital to shareholders. As Mike mentioned earlier, during the fourth quarter we repurchased an additional 3.9 million shares under our fifth modified Dutch auction tender, bringing our total repurchases for the year to 13.7 million more than 20% of shares outstanding at the end of 2009, and our total since initiating our buybacks to 23.2 million or 30% of the total shares out at the end of 2006 beginning of 2007. More and more, the core value Tucows brings are great distribution network of service providers is showing its value and that has us quite excited for 2011.  And with that, I’d like to open the call to questions, operator?
Operator: (Operator Instructions).  Your first question comes from the line of Thanos Moschopoulos from BMO Capital Markets.  Your line is now open.
Thanos Moschopoulos: Hi.  Good afternoon.  I appreciate your color and commentary regarding the opportunity with respect to the new top-level domains.  Just to drill a bit further on that, can you clarify – as that starts coming into effect and rolled out, could this really provide sort of a new step function of growth in your domain business, or might it be a more gradual ramp than that, or is it sort of hard to say at this point?
Elliot Noss: I would think about it less as a step function and more about increasing the rate of growth in the domain business.  So I don’t see it necessarily as a new curve or a new line, but I do see it as a step up in the existing growth.
Thanos Moschopoulos: Okay.  And there wouldn’t be any reason to think that the margins per domain for that new business would be any different than your current business, would it?
Elliot Noss: You know, I think that remains to be seen.  It’s going to be to some extent a function of how people innovate in the registry space.  So I don’t think there’s any downside to our margins certainly from the introductions of new TLDs.  But there could be, depending on some new or innovative approaches, the opportunity for some higher-margin offerings.  So I think that, you know, that’s kind of at worse than neutral and at best at positive in the margin level.
Thanos Moschopoulos: Okay.  On the domains business, can you remind us at this point what the relative mix looks like between syndicated, search, parked pages, revenue versus, you know, resale auction revenue?
Elliot Noss: You said resale and auction revenue?
Thanos Moschopoulos: Yeah.
Elliot Noss: Do you want to break that down?  We’ll give Mike a second there.
Thanos Moschopoulos: You know, just sort of broad-brush strokes.
Elliot Noss: Yeah.
Michael Cooperman: Just give me one second.
Thanos Moschopoulos: And your commentary, the mix has certainly been shifting much more towards the sales relative to the search revenue?
Elliot Noss: That’s right.  The search revenue, you know, I want to say in the quarter was in the kind of quarter-million, 300,000 range.  And you know, that’s down from, you know, it’s been on a steady decline for the last three or four years.
Thanos Moschopoulos: Yep.
Michael Cooperman: From that 400 range down to the 300 range.  And the rest of the income is in the domain-name sales and auctions.
Thanos Moschopoulos: Okay.
Elliot Noss: You know, we think that if that continues, as we, you know, we’d be thrilled to see the search revenue or the syndicated revenue be flat and we expect the sales revenue to continue to increase.  You know, we’ve seen with some large portfolio holders that mix going from, you know, all search, you know, just two years ago, to now 50/50 search and sales.  You know that we’ve been focused on sales from the very beginning so we haven’t seen that huge of swing.  You know, but boy, that’s industry wide now.
Thanos Moschopoulos: Okay.  And certainly it’s showing some consistency as far as building that revenue base.  Over the past several quarter, certainly a consistent stream, it looks like?
Elliot Noss: Yeah.  And you know, we think that the increases will be more in that consistent type of nature too.  Whereas, you know, just moving the inventory turns a little bit higher with each successive quarter is our hope.
Thanos Moschopoulos: Okay.  Can I ask a question for Mike, and I apologize if you covered this in your prepared remarks, but what would have been the 4-X translation gain or loss embedded in the OpEx lines for the quarter?
Michael Cooperman: Embedded in the OpEx lines in the quarter?  We – on the 4-X, we made $300,000-odd in the December 2010 quarter and that was slightly higher than the 260-odd that we made in the fourth quarter of 2009.
Elliot Noss: Always remember that that sits inside of G&A.
Thanos Moschopoulos: Right.  Okay, so the 300K gain?
Elliot Noss: Yes.
Michael Cooperman: 300K gain in this year versus just under 300K gain in 2009.
Thanos Moschopoulos: Okay.  And as far as your ongoing cash generation, is it safe to assume that you’ll probably look to deploy your cash in the manner consistent with the recent past?
Elliot Noss: Yeah, you know, I think that, you know, we certainly have nothing to announce and I think our strategy is the same.  You know, we’ll always keep our eye open for opportunities, but you know, we’re not really focused on M&A and we’re, you know, we continue to experience that new service launches, things like that can be well handled inside the existing OpEx structure.  So I think that’s a fair comment.
Thanos Moschopoulos: Okay.  That’s it for me.  I’ll pass the line.
Elliot Noss: Thanks, Thanos.
Operator: (Operator Instructions).  Your next question comes from the line of Alex Grassino from Laurentian Bank Securities.  Your line is open.
Alex Grassino: Good afternoon, gentlemen.  Could you provide me a little bit more color on how you conceptionally see the TLD brandable names working?  I guess in terms of sort of opportunities you can visualize material at?
Elliot Noss: Sure.  So you know, I believe first of all that what you’ll see at the very onset is a large number of brands who will first and foremost make sure they secure their name space.  And I think that you’ll see them inside of that group.  So that will be, you know, through the process.  And remember, I should probably flush up the timing a little bit.  You know, even with a finite announcement in March, you’re going to see the communications process, which I believe lasts three or four months.  You’re going to see an application process and then you’re going to see those applications work through.  So imagine if, you know, spring or summer, 2012, things are coming out the other end and I think you’ll see a small number of brands start to use their brand name space as a replacement or supplement to their existing Internet usage. So you might see brand.com migrate to .brand.  And I think that you will see the larger body there watching to see what those innovators do.  And as people wrap their heads around the utility of having their own name space, their own brand on the Internet and what that means both in relation to having as an alternative a number of different domains across different countries, or a number of different sub-domains second levels, directory structures, I think as a lot of that starts to come clear you’ll see more and more of those brands start to use it. And you know, what I’m talking about opportunities for innovation there, Alex, you know, we think that there is a way to look at that that is fresh.  So you know, today domain names are thought of and distributed in a very traditional way.  You have a registry you have a registrar, you have an end user.  They’re all very separate entities.  And there’s a whole structuring system that’s built up around that.  I think as that changes there are some very interesting opportunities to deliver services differently.
Alex Grassino: Okay, great.  I just – just sort of a follow up.  In terms of the hurdles that we would be faced with getting a brandable TLD approved, how sort of high do you see the barriers being and how quick would the process be?
Elliot Noss: Well, I think you’re going to see, you know, you say how quick will the process be; again, you’ll see this communication process, which is really intended to make sure that, you know, people all over the world know that this is happening.  Then you’ll see a relatively short application window so that might be in the 4, 6, 8-week timeframe.  During that application window your – all of the applications will be secret, confidential.  At the end of that application window, all the cards will be turned over.  Then anytime there’s contention for two applicants, two people who want .blog for example, that will go to an auction. Now, a lot of the, you know, when you’re talking about hurdles, the $185,000 for an application, if you want one of the real core generics, think there about one of the top 100 search terms on Google, there you’re probably going to find yourself with some contention and being at auction.  And you know, who’s to say with some of these auctions.  If both Google and Microsoft are pursuing .search, you know, where does that auction go?  It’s pure conjecture. Now, there are another set of hurdles.  Certainly all of this has a lot of intellectual property protection built into it to ensure that there’s no sort of abuse, trademarks, etcetera that goes on through the process and that’s been really well debated and I think it’s baked very tightly into the process. In addition, I do not believe that in the first round, what I referred to in the industry as contentious strings are likely to get through.  So you can think about things there that might bump up against morality issues, and I won’t bore you with any examples.  But you know, I don’t think, you know, I think in the first round there’ll be plenty of applicants that have fairly digestible strings that they’re pursuing.  And I imagine that some of the more contentious ideas will probably end up in later rounds.
Alex Grassino: Great.  And do you think there’ll be any sort of fail-safe or stop-gap measure to prevent what happened with companies like Amazon back in the early 2000s from being essentially sort of high jacked by other countries, like Amazon.gr is always sort of the subject of a bit of blackmail or something like that?  Do you think there will be some sort of recognition of previous trends there to sort of clean up the process, or do you think the straight dollar value on the application process will be enough of a hurdle in and of itself?
Elliot Noss: I think that the, you know, that kind of – the high application fee and the auction process is a huge hurdle to what you would think of as kind of large-scale cyber squad.  It’s just not practical.  In addition, you know, the remedies relative to where they were in 2000, for example, are very different.  And you’re also talking about a country code name space there with .gr.  And I can promise you that in 2000 or 2001 the dispute resolution process in the Greek name space was not mature.  So all over the world those processes have really been maturing over the last ten years. You know, there’s going to be some very interesting contention though.  I mean, you know, some stories I like to tell, you know, imagine if Apple chooses not to apply for their brand.  You know, chooses not to apply for .apple.  But the U.S. Apple Growers Association does.  That’s a legitimate use and as long as they’re not doing anything that in any way touches on the Apple trademark, well, that a legitimate use.  So you could fine .apple forever more, you know, being dedicated to the fruit.
Alex Grassino: Great.  Okay.  And just one final question, shifting gears a little bit.  On the goMobi, could you give us a little bit more insight into what you conceptionally see the revenue model being for that going forward?
Elliot Noss: Sure.  That’s a service that is kind of an add-on service in the purchase path.  So somebody now is buying the new web hosting account or perhaps our customers are remarketing back into their base of existing hosting accounts, where you’re going to buy this mobile tool to supplement your existing website.  You can take a look, I mean, I can send you some examples offline.  They really – it really does work very well.  They resolve beautifully on smartphones.  And it’s a very simple monthly fee from us to our resellers and then they, you know, as is always the case, might choose to bundle it or offer it in a number of different ways.  But to this point, the straightest addition is to offer it typically in the kind of 4, 5, $6 a month range to their end users.
Alex Grassino: Perfect, thanks.  That’s all I’ve got.
Elliot Noss: Thank you.
Operator: There are no further questions at this time.  I’ll turn the call back over to the presenter.
Elliot Noss: Thank you all for joining us and I look forward to speaking with you again next quarter.  Thank you, operator.
Operator: You’re welcome.  And ladies and gentlemen, this concludes the conference call for today.  Thank you for participating.  Please disconnect your lines.